Operator: Ladies and gentlemen, thank you for standing by. Welcome to the CACI International Fourth Quarter and Year End Fiscal Year 2016 Earnings Conference Call. Today's call is being recorded. [Operator Instructions] At this time, I would like to turn the call over to Dave Dragics, Senior Vice President of Investor Relations for CACI International. Please go ahead, sir.
Dave Dragics: Thanks, Jason, and good morning, ladies and gentlemen. I am Dave Dragics, Senior Vice President of Investor Relations of CACI International, and we are very pleased that you're able to participate with us today. And as is our practice, we are providing presentation slides. So let's move to Slide 2. And turning to our written and oral disclosures and commentary, there will be statements in this call that do not address historical fact and, as such, constitute forward-looking statements under current law. These statements reflect our views as of today and are subject to important factors that could cause our actual results to differ materially from anticipated results. Now factors that could cause our actual results to differ materially from those we anticipate are listed at the bottom of last evening's earnings release and are also described in the company's Securities and Exchange Commission filings and our Safe Harbor statement is included on this exhibit and should be incorporated as part of any transcript of this call. I would also like to point out that our presentation today will include discussion of non-GAAP financial measures and these non-GAAP measures should not be considered in isolation or as a substitute for performance measures prepared in accordance with GAAP and they are also included as part of our presentation slides. So let's turn to Slide 3 and open up our discussion this morning. Here is Ken Asbury, President and Chief Executive Officer of CACI International. Ken?
Ken Asbury: Well, thank you, Dave, and good morning to everyone. Thanks for joining us to discuss CACI International's FY '16 fourth quarter and full year results. With me this morning are John Mengucci, our Chief Operating Officer and President of U.S. Operations; Tom Mutryn, our Chief Financial Officer; and Greg Bradford, Chief Executive of CACI Limited, who is joining us from the U.K. I'll have you turn to Slide 4, please. Last evening, we released our fourth quarter and full year FY '16 results. The results were strong and positions us quite well for our fiscal year '17. Revenue, net income, and cash flow were all higher year-over-year due to strong contract performance and the acquisition of National Security Solutions business. For the quarter, awards and contract funding were also significantly above last year, reflecting our enhanced business development processes and an improved pace of government spending during the quarter. During the year, we received over $5 billion of awards and over $4 billion of contract funding. We successfully integrated NSS, the largest acquisition in our history achieving synergy goals ahead of schedule which accelerated value to CACI and our shareholders. At the same time, we greatly enhanced our credentials in enterprise IT and deepened relationships with key customers. NSS met our expectations at the top line and exceeded our profit expectations generating substantial accretion. The acquisition further position CACI into more enduring areas of the market that will provide predictable and profitable growth in the future. Now turning towards the market environment, there was an increased pace of awards and funding in the quarter that we expect will extend at least through the end of September. At this point, from everything we can just determine, it appears the Federal Government will likely begin its next fiscal year under a continuing resolution. Just turn to Slide 5 please. We continue to execute a market-based strategy, meaning we're going to win new business, we’re going to drive operational excellence and invest our capital for future growth. In FY '16, we won business across all of our markets, adding noteworthy contracts in such important areas as Enterprise IT, Business Systems, Intelligent Systems and Support, and Cyber. We are winning larger, more solution centric business that will service well for the future. John's going to have some more color on this in just a few moments. Beyond FY '17 our goals are to grow organic revenue from 1% to 4% better than our addressable market and deliver higher EBITDA margins on a 10 to 30 point per year basis. Finally, I am very pleased and so proud that CACI was named the Forbes Top Employer for Veterans, and we also repeated our standing as one of the Washington Post top places to work in the district of Colombia. This is the kind of recognition we appreciate, and we want to continue it in a very competitive hiring environment. FY '16 closes on a positive note and keeps us on track as we start FY '17. We are reiterating our FY ‘17 guidance and I am confident that we will continue to deliver long-term value for our customers and our shareholders. With that, I am going to turn the call over to Tom for some financial details. Tom?
Tom Mutryn: Thanks, Ken, and good morning, everyone. Let's turn to Slide 6. Our fourth quarter revenue was $1.1 billion, almost 30% greater than the fourth quarter of last year, driven primarily by the contribution of NSS. Net income for the quarter was $43.6 million with strong performance from both heritage CACI and NSS. Full year revenue was $3.74 billion and net income was $142.8 million with both revenue and net income 13% above last year. Excluding the contributions and one-time acquisition costs, CACI revenue and net income would have closed within our original fiscal year guidance range reflecting strong profitability for our business and effective cost management. For the year, one-time acquisition-related expenses totaled about $9 million on an after-tax basis. In the quarter, NSS contributed $255 million of revenue and $13.1 million of net income providing significant accretion. The net income number includes $1.6 million of after-tax intangible amortization and does not include any interest expense associated with the additional acquisition related financing. For the year, NSS generated $427 million of revenue in line with our five month expectations. Net income was $18.8 million which includes $2.7 million of after-tax intangible amortization and $2.5 million of after-tax transaction expense allocated to NSS, notably severance expense and excludes acquisition-related interest. With interest expense and excluding the one-time expense, NSS is about 25% accretive to our earnings per share for that period. Slide 7, please. In the quarter, we elected to early adopt a new accounting rule which simplifies the accounting for share-based payments. Previously, difference between the value of tax deductions from when share-based compensation was initially reported and when the awards vest were treated as balance sheet adjustments. The new guidance specifies that these differences flows through the income statement. Since this change is retroactive for the full year, we have included a table at our earnings release detailing how the $1.2 million tax benefit impact each of four quarters. Slide 8, please. We generated $53 million of operating cash flow in the quarter and $243 million for the full year. This is above 7% greater than our operating cash flow a year ago and is about 170% of our net income. Net debt at the end of June is $1.4 billion, and our net debt to trailing 12-month pro forma adjusted EBITDA leverage ratio is now about 3.8 times. We will be adopting the new ASC 606 revenue recognition standard in our fiscal year 2019 and it will apply retroactively to FY '17. Among other provisions, it standardized mandatory backlog reporting requirements. In preparation for this, we have reviewed our backlog processes, definition, and scrubbed our balances. As a result, we've reduced our backlog associated with the number of programs and tightened up our reporting processes going forward. In a number of cases, we received awards for funding a number of years ago, but due to changes in government priorities and programs, we never realized the full value of those awards, and the period of performance had lapsed. Inclusive of these one-time adjustments, our total backlog at the end of June was $11 billion and our funded backlog was $2.3 billion. This adjustment has no impact on our FY '17 plan or forecast which is built up program-by-program nor does that have any impact on our longer-term outlook. Please turn to Slide 9. Lastly, with consideration of our fourth quarter results, we are reiterating our FY '17 guidance that we issued at the end of June. Consistent with the June call, we expect the normal sequential decline in revenue from the fourth quarter of FY '16 to the first quarter of 2017 and expect first quarter net income to be less than $30 million. Now here's John to provide operational highlights.
John Mengucci: Thanks, Tom. Let's go to Slide 10 please. Our Q4 results bring a successful FY '16 to a close. During the year, CACI continued to execute our market-based strategy, win new business and deliver with quality and efficiency in support of our customers' critical missions, as well as completed the integration of NSS. As Tom mentioned, exceptional delivery was one of the drivers of strong profit performance in the fourth quarter and I'm very proud of our team for their efforts. We've discussed our market-based strategies and feel it worthwhile to illustrate how one of our market strategies has driven success in this dynamic federal market, that being Enterprise IT. Five years ago, IT budgets came under pressure as our customers were faced with a Budget Control Act and caps on spending. In this new environment, large scale traditional IT would simply be cost prohibitive. This presented us with an opportunity to disrupt the market with technology-enabled solutions and provide significant cost savings for our customers, hence our pursuit of NSS. Today, our combined capabilities are responsible for recent wins and enable us to address the well-funded enduring needs of IT modernization by leveraging cloud power solutions, as a service models and performance-based management. This is a single example, a representative of the success we’re having by applying focus to each of our markets. While on the topic of NSS, their performance these past months has been exceptional. Upon close, we quickly implemented targeted synergies. We capitalized on this by fine-tuning several bids in process, enhancing our solutions, improving competitive position and thickening our past performance credentials. In addition, NSS has exceeded our net income expectations for the fiscal year, driven by great program performance and a realization of those strategies ahead of our planned schedule. Turning to awards and funding, we continue to win business across all of our addressable markets. We won $1.6 billion in contract awards during the quarter and more than $5.3 billion during the fiscal year. This result in a 12 month awards over revenue ratio of 1.4 times, very healthy. Some of the significant awards this fiscal year were a $102 million single award to provide litigation support for the Security and Exchange Commission, a $199 million single award to provide operation support and enhancements for the USDA Web-Based Supply Chain Management system. A prime position on the $22.3 billion IDIQ to provide IT solutions and services to the Department of Veterans Affairs. A prime position on $809 million IDIQ to support business systems that enable supply systems command. A prime position on a $460 million IDIQ to provide mission support to U.S. Cyber Command and $360 million in previously unannounced intelligence awards. We also booked more than $1.1 billion of contract funding orders in the quarter and exceeded $4 billion for the full-year. Awards, funding and a contribution to overall backlog put us in a sound position as we enter our fiscal year 2017. Slide 11, please. Our commitment to operational excellence remains at the heart of this organization. During FY '16 CACI revalidated and expanded its enterprise wide CMMI level 3 recertification for U.S. operations and its first enterprise wide ISO 9001 quality management credential. These validations assure our customers that CACI will provide reliable processes, driving quality and efficient delivery on our programs. As an example, this rigor is enabling our successful delivery of the largest pay in personnel and PeopleSoft implementation in the world with IPPS-Army. This program has achieved several key milestones in fiscal 2016 and has a very satisfied government customer. Slide 12, please. I'm optimistic about CACI's ability to achieve our long-term growth goals. We closed our successful fiscal 2016 which keeps us in a great position as we enter 2017. Our revenue plan now consists of 86% existing business, 10% recompete and 4% new. Our opportunity pipeline remains strong with over $12 billion in pending contract awards and more than $23 billion we expect to submit by the end of this calendar year. Our market-based strategy is working and we remain focused on the core elements of our performance, winning new business and delivering mission-critical solutions and services to our customers. With that, I'd like to turn the call back over to Ken.
Ken Asbury: Well, thank you, Tom. Thank you, John. I appreciate your comments this morning. Let's turn to Slide 13, please. As we begin our fiscal year 2017, I'm pleased with our position. In FY '16 and in early FY '17 we won some key contract awards that provide a solid foundation for CACI going forward. We continue to build on that success this year as we execute against a robust pipeline of opportunities and we have the opportunity to deliver innovation quality and profitability on our current book of business. I'm very proud, very proud of the work our 20,000 dedicated professionals do in modernizing our IT systems, countering cyber threats, securing national airspace and all the solutions and services we support our customers with. We look to the future with confidence in our strategy and our talented employees who are committed to ensuring that our customers succeed in their critical missions. I thank everyone at CACI for that success. Our people work hard each and every day to meet our nation's most important challenges, support our Company's growth goals and deliver long-term value to our shareholders. A new initiative related to our national security focus, on September 22 CACI is jointly sponsoring the 9th Annual National Security Symposium; Offset Strategies to Prevail against Asymmetric Threats. We're providing thought leadership in this forum to further the national dialogue on how to address complex, asymmetric threats to national security. With that Jason I think let's open the call up to questions.
Operator: [Operator Instructions] And our first question comes from Edward Caso from Wells Fargo.
Edward Caso: Seems like every several years, there is an issue with the calculation of backlog going back a good 10 years or so. Does it tie in at all to the fact that CACI is a very acquisitive company? I guess my question is, are you comfortable with the ERP systems that you have to monitor your business and help you forecast the future or is there more need for further investment in that area? Thanks.
Ken Asbury: Again, thank you Edward, you can kind of take that. When we acquire companies, we do a pretty tight scrub of bringing their backlog on to our books. Now some of the smaller companies may have kind of less elaborate books and records, but by definition their backlog numbers are not as large as kind of legacy CACI. But in the most two recent large acquisitions, Six3 and NSS, we have pretty detailed processes to look at their programs and scrub them before we enter them into our system. So the situation was kind of less associated with our acquisitions, but rather with the kind of prophecies I discussed. The government provides awards in funding, and we have kind of various databases which track those kind of worth in funding keeping a number of parameters associated with those programs in our databases. And what we neglected to do quite candidly was when we calculated the backlog numbers, paid special attention to the period of performance. And so, we discovered as we were preparing for the new accounting standards that a number of programs had lapsed period of performance. The bigger question; is there underlying problems within CACI, ERP, and data systems? From a gap perspective, we have clean bills of health, Sarbanes-Oxley 404, no issues associated with our reporting requirements, haven't had any accounting restatements or issues associated with our accounting systems and our forecasting systems are very robust. We discussed those in the past in terms of a bottoms-up program-by-program forecasting system which gives us insight into FY '17 with some degree of fidelity. Our low DSO was reflective of pretty precise billing and invoicing processes kind of on our program level, so all in all, I think we give ourselves a pretty strong bill of health.
Edward Caso: Great; thanks. If I can sneak in one more, can you just update us on the OPM contract? We're hearing of supply-demand imbalances where a lot of it's triggered by the tightness in the security clearance issue. Anyway, if you can update us on the timing of the recompete and how that contract's going, thanks.
John Mengucci: Yes, Ed, thanks this is John. Think that's the second time I have done that to you, I have called you Bill twice now, sorry. We are prohibited to discussing it in great detail, but overall still very pleased with the performance of that contract. We have been pretty much at steady state since Q4 of FY '15, and as we expected that does continue today. It is public knowledge that we are in the midst of a recompete, the last information we received from the government customer is award on or around October 1. What I can tell you is this customer’s priority is still quality and efficiency, both of which we are very proud to be providing. As with all of our recompetes, we do feel we are in a very good position given how we have performed in the value and the level of investment frankly that we have made in growing our core of background investigators. There is a potential as we talked about last call for other providers to be added for the next award, but as you correctly state, the backlog for this current process is extremely large and we work each and every day, partner with our OPM customer to continue to drive that backlog down. So, thanks.
Operator: Our next question comes from Bill Loomis from Stifel.
William Loomis: Hi, thanks. Since we are on OPM, just what other changes? There could be more people added; can you talk about what other changes might be made to the OPM contract in terms of scope or maybe contract type? Is there still going to be a large fixed-price component, for example?
John Mengucci: Yes, Bill, I will be cautious in my comments because we are still in this re-compete phase, but there is not any material changes, Bill, it’s still a fixed unit price for each of the different investigative types, which has been very consistent over our involvement with this contract. One item is, as part of the RFP response, being able to show exactly how much throughput you as a potential provider can supply on a quarterly and on a full-year basis. As you remember, in the second quarter of 2015 we put a reasonable investment out there to grow our background investigator workforce. I think that has paid up extremely well for us. It also helped the Federal Government to get those backlog numbers down. So no material RFP changes and again Bill I - we firmly believe that’s we are going to hear about this beginning of October, given the way the customers move things around clearly by the end of October.
William Loomis: Okay. And then my next question is on the commercial and state and local. That had very sharp improvement, what's happening there?
Tom Mutryn: Okay. Yes. In terms of the commercial entity, we did a small acquisition at the end of last year, which had some commercial content to it. It was a security-related acquisition, we hadn’t spoke about it a lot, given the nature of the business and that was a major driver of the commercial entity. In addition, kind of U.K. operations had some acquisitions as well and that is commercially focused.
Operator: Our next question comes from Cai von Rumohr from Cowen & Co.
Cai von Rumohr: Yes; thank you very much. This backlog scrub, it works out to roughly 20% of funded and 20% of total backlog. This is a very substantial number. How often, just in terms of your processes, do you look at this? Because this is not like a 4% to 5% kind of rounding error; this is a very substantial number. Do you look at this every quarter, or once a year? And how could you miss by that much?
John Mengucci: So, Cai, this is John. In every quarter we report backlog and so we pay special attention to what’s going in the backlog number when we receive funding and awards and then typically what comes out of backlog could relates to revenue. And candidly when we kind of run the calculation we do not pay attention to period of performance, and so this is a cleanup which goes back kind of number of years in terms of the backlog. And yes, it was a sizeable reduction as a percentage of backlog, I think the question -- that we’ve asked ourselves is what is kind of a relevance, or kind of backlog and how do people look at backlog. And from our perspective, it’s the change in the backlog is kind of more relevant than the absolute ambient levels of backlog and assuming that this adjustment would have occur if we restated backlog last year would get the same change in backlog. And in terms of those changes, one can also look at book-to-bill numbers, awards to revenue, funding to revenue, both of those numbers are greater than one kind of imply that the business is growing the potential for us to generate revenue is growing. So either looking at the changes in the backlog or the book-to-bill ratio is greater than one, when we get the same result to kind of that the business is growing -- underlying business is healthy. Again I’ll reiterate that this is a onetime adjustment, sizeable and it’s not having impact on our FY 2017 - forecast or plan where our prospects going forward.
Operator: Thank you. And our next question comes from Robert Spingarn from Credit Suisse.
Robert Spingarn: Hi, good morning. I have two questions; first is on NSS and then I have a follow-up really to Cai's question. But if we do the math on NSS, it looks like the first-half margin excluding the amortization, Tom, that you talked about, and trying to tax-effect it - and I don't know if I'm using the right rate - is about - rather the six-month margin, your fiscal second-half is about 9%. A little lower in Q3 than Q4, but very good margin, higher than the company average, and about double what the margins were at L3. So I was wondering if you could speak to that and to the sustainability of that. And then separately I have a question on backlog
Tom Mutryn: Okay. I'd give you a different calculation. When I look at margin NSS for the first five months I get a number of close to 7%, which has been similar to CACI’s space margin. Now that has some severance expense in it, so that would add a little bit to the margin 100 percentage.
Robert Spingarn: Yes, I backed all that out, Tom. But I may not have done the math right.
Tom Mutryn: Yes, well, we can talk offline about kind of the mathematics about it. The other factor I think what’s interesting is when I look at NSS, similar to CACI, they have some cyclicality in terms of award fees. And in the fourth quarter, they have some higher award fees and so we had a shorter stub period, which was at least in the fourth quarter award fee heavy and so that would skew. I wouldn’t get over our skews as we want to say and start thinking about it NSS margin kind of materially greater than the CACI margin. We think it’s generally in line with the CACI margin.
Robert Spingarn: Okay. Then if I'm still here, a question on the backlog. Really piggybacking on the last question, as you look forward, is there any rule of thumb for the lapsed backlog as a percentage of backlog? I know you've called everything backward-looking, but presumably each quarter there is some unused backlog that goes from live to dead. Is there any way to measure or monitor that?
Tom Mutryn: Yes, there is a way to measure or monitor that. Have we had that fidelity right now, the answer is no, I think it’s something that we can get. But let’s assume that the backlog rate which I’ll call it is x percent and that x percent is constant. So if I apply it to the prior period’s backlog and this period’s backlog, you would come up with the same backlog growth numbers, which again, in my mind, are the more relevant numbers than the ambient level of backlog. So that’s another way to look at the same result.
Operator: Our next question comes from Brian Kinstlinger from Maxim Group.
Brian Kinstlinger: Great; thank you. The first question I have is on the award base. You mentioned continuing into September, which is a seasonally strong quarter. Can you talk about how the first half of this quarter has gone, specifically on the new business trends as well?
Ken Asbury: Yes, Brian this is Ken. We ended fourth quarter with a pretty strong, I would say a higher level of award activity than we had seen, and we obviously finished the fourth quarter with about $1.6 billion, and I think half of that was for new. 25% was for recompete and about 25% were for contract modifications. So generally, a pretty strong quarter. We also saw in the beginning of 2017 begin in a similar fashion. This is based on the last five years of booking. This is generally our biggest awards quarter. If I look at the last three years of this, we’re close to averaging a little over $2 billion in total awards during this period of time. I would expect - I don’t see anything in government planning cycle that would suggest that they’re going to do anything other than their normal end of fiscal year activity to get money placed and to get contracts going before we get into the next one. So, now beyond September or I should say beyond October 1 that could be a different ballgame with either short or long-term CR. But right now looking at our first quarter, I like the way it’s begun and I expect it will finish strongly as has been the history.
Brian Kinstlinger: Great. Then my follow-up is the fourth-quarter earnings seem to have been much stronger than expected, while revenue was in line, suggesting fixed-price contracts were delivered much better than expected -- at least how you guys were anticipating it. I'm wondering how the $30 million in net income in the first quarter, as well as the annual guidance, contemplates execution compared to what's happened in the fourth quarter.
Ken Asbury: Tom, do you want to address that?
Tom Mutryn: Yes. So Brian, we have a process that internally where every month we go through a pretty detailed rigorous forecast. We put a FY 2017 plan in place. So kind of mid-July, we reviewed our FY 2017 numbers. Kind of mid-August, we reviewed our FY 2017 numbers and based on that assessment, which includes kind of prior period performance, fourth quarter actual kind of reaffirming our guidance. The fourth quarter was higher for a couple of reasons. So one is we have a lower tax rates. Some associated with the stock-based compensation, some associated with manufacturing and WOTC and state tax credits and that certainly helped. And then the underlying performance of both legacy NSS and legacy CACI was strong. And, John, I think you have some insights there as well.
John Mengucci: Yes, Brian, I'd also add to Tom's comment is there were a few of our fixed unit priced programs that showed higher volume and stronger performance in the fourth quarter. The logical question is so would we see that a push forward into the first. Most of that work was a lot of one time volume, but I do believe that the volume we have for our fixed unit priced jobs is responsibly planned throughout FY '17. Could we see some of those additional peaks? Yes. But we're set right now given we're only six weeks soon to FY '17 that our volume we expect on those programs will be very consistent moving forward.
Operator: Our next question comes from Jon Raviv from Citi.
Jonathan Raviv : Hi, good morning. Could you guys talk a little bit about the sales cadence going through the year, as some of those previously identified commoditized contracts roll off? And what's your visibility/confidence to the consistent organic growth, both in fiscal second half and thereafter? And then really the same question on margins: When do we reach those 10 to 30 basis points of annual expansion?
Ken Asbury: Yes, Jon, This is Ken. I'll start - let's talk about organic revenue, here we got - we planned the year at the midpoint of our guidance being about down 5% year-over-year and really that is due to the run off of the past two contracting businesses that was associated with a tremendous amount of our growth in the Southwest Asia support over the - I'd say the late 2000 - excuse me, late 2010, 2012 period. If we look at the upper end of our guidance range for revenue this year we'll see - we do see the potential in the fourth quarter for modesty, a very modest organic growth. Looking forward we believe based on our addressable market which we see over the next five years its growing about a point to a point and half over that period of time, which is the first time by the way we've seen that in a long time. We believe that we can grow faster than that rate. And why is that, that we will have settled the majority of those past two contracts those will either have run off or stabilize as of this year. And going forward we will not see a big presence of those in if you will in our portfolio of business. They will be replaced with more solution-oriented work as we hit forward. I'd tell you the same thing for the margins, we are bidding jobs; we have jobs that we have bid today. Some of them are fixed unit price, some of them are fixed-price and they are very large when we're successful on those, those will give a lift to margins over a period of time and that's probably what I will say. I don’t want to get too competitive in terms of what job is what, but suffice to say that the portfolio of jobs that are in adjudication today are really reflective of everything that we've been talking about the last three years, larger, more solution oriented, generally going to be higher margins and with several of them featuring fixed-priced components, which I am highly confident we will drive more value out of than our general cost plus baseline.
Jonathan Raviv: Thanks. I'll hop back in the queue.
Operator: Thank you. Our next question comes from Tobey Sommer from SunTrust.
Tobey Sommer : Thanks. My first question. What's the underlying compensation growth in your direct labor base? And do you anticipate any change in that going forward?
Ken Asbury: Tobey, I think just in terms of - merit is what 2.5%? 2.5% on labor.
Tobey Sommer: And that would be kind of an all-in compensation including benefits?
Ken Asbury: Yes, I'd thought about it that way. I'm thinking in terms of salaries right at the moment.
Tobey Sommer: Cash comp?
Tom Mutryn: I think our fringe rates are staying essentially flat on year-over-year basis and so that would be a good cost base. Now the caveat is that assume the same mix of business and so we have a number of employees, some are SCA employees, some are higher paid employees and to the extent that we're growing some higher-end programs greater our average salaries are going to fluctuate given the large numbers it’s probably not a large kind of fluctuation in average salaries but as Ken said a 2.5% can be a really increased based on kind of market conditions are assessment of ensuring that we have competitive pay and benefits to both retain and attract people.
Tobey Sommer: Thanks. Tom, why didn’t we adopt the new accounting standard early?
Tom Mutryn: So are we talking about the share based accounting standard?
Tobey Sommer: I believe, so yes.
Tom Mutryn: Yes, the share based accounting standard, quite candidly allowed us to increase earnings per share or net income rather $2 million this year, comparable model next year. It is kind of interesting that at the end of the day the economic benefit, the tax deduction is there all along. We are going to get the same kind of refund or pay the same amount of taxes to the federal government of the common standard allow us to take that economic benefit and translate it from the kind of dollar achieved to the income statement. And so given everything else, we preferred to put it in the income statement than having it kind of rest in the balance sheet, we are required to adopt it for two years hence seems like a good idea to adopt it early pretty easy to do and improved our earnings per share, again with the caveat that there is no economic consequence to it, it was in accounting rule.
Operator: [Operator Instructions] Our next question comes from Mark Jordan from Noble Financial.
Mark Jordan: Good morning, gentlemen. A question relative to bookings. In the numbers you reported, I assume there's no contracts that are in the protest cycle. Could you tell us how much business you have won that is currently still in a holding pattern due to protests?
John Mengucci: Yes, Mark, this is John. Currently we have about 600 million of the 1.6 billion that we announced of awards that are under protest. We have been in this position many, many times, we fully expect a positive outcome for CACI. For all three of those contracts, we are planning on material revenue contribution until closer to our third quarter which we believe will provide sufficient time for those protests to be resolved. As many of you know we do allow for these business realities as part of our annual planning cycle, I think you all heard us talk about extending the government’s announced award date by 30 to 60 to 90 days and then on these larger solution based jobs are the major takeaways that we have worked in some instances 18 to 24 months to go win. When we are successful on those, we have also planned that those will be protested. So again about 600 million of our 1.6 billion, if you look back over the last couple of years, you should see extremely materially high success rate on us being successful.
Mark Jordan: Okay. Final question from me, could you reiterate what the CapEx plans are for fiscal 17?
Tom Mutryn: Yes, this is Tom. Consistent with all we said in our initial guidance call approximately $30 million, that's higher than normal, we are doing it relatively large facility move, it’s underway as we speak but that spending will hit our first and second quarter of this year.
Operator: We have an additional question from John Raviv from Citi.
Jonathan Raviv: Yes, thanks for the follow-up. Can you talk a little bit more about the mechanism of booking awards to funded backlog? In essence, how confident should we be in the actual contract funding orders driving your book-to-bill? And what's the risk that those contract funding orders don't manifest down the line?
Tom Mutryn: Yes, this is Tom. So the process we have of kind of data going into the system, they kind of will to find profits. We maintain a contract kind of data repository and when we get a funding on award do we kind of bucketize it. If it’s in multiple awards IDIQ with no value specify, we do not put anything in it. If it’s a single award, kind of we look at the four corners of the contract documents and see whether there is dollar specified and it was dollar specified within our four corners we will incorporate those kind of funds in associated with the four corners of the document. We have a kind of two step process where one person will look at the underlying contract document and can make the entries in to the system. We also have a review where another party will double check the work to make sure the numbers are going in some degree of fidelity. We also have similar processes when contracts are modified which is often the case, which is a series of modifications taking place. And so the numbers going in, again I will be repetitive, have a high degree of fidelity kind of double checking, looking at the four corners of the contracts, not relying on management estimates all we think based on run rates the value should be x, what’s for these numbers in. We do not have those processes over looking at the four corners of the contract, kind of numbers go left.
Jonathan Raviv: Got it. Then just a quick one for John. Can you talk about the big bid coming up in the fiscal second quarter, how you are positioned, and also how you think you guys stack up with a reinvigorated NSS business against some other reinvigorated businesses that are cropping up now? Thank you.
John Mengucci: Jon, it’s like $64,000 question. We do have – I'm not going to go - get in too much because we are right in the middle of RFP and that will be delivered here shortly. Look, whenever you go to compete, you look for an opportunity to discriminate yourself from whoever it is, you are competing against and there are multiple ways of doing that, in our particular case we think we do it with a set of very innovative approaches to this one particular job using commercial well known commercial both processes and capabilities that have not been seen inside of this space before. And then they've arrayed against some more traditional ways of solving a very similar problem. I am not giving you a lot because I don’t intend to give a lot on that subject. I believe that we had a reasonable chance that opportunity that's why we made the investment in talent and in the teaming that we have done, in the relationships that we have built throughout that customer community, so we’ll see what happens. It wouldn't surprise me if we lost, but I am not going to be greatly surprised if we win, we understand that job very well. We believe we understand what the customer wants. And the second part of your question had to do with - if you want to come back on job - I forget what the second part of your question was. Okay, Jason let's move ahead.
Operator: And our next question comes from Tobey Sommer from SunTrust.
Tobey Sommer: Thank you. Could you give us an example of an explicit change to your backlog methodology that increased fidelity going forward?
Ken Asbury: Yes Tobey. Prior to this kind of adjustment, when we on a quarterly basis rolled the backlog, we looked what was kind of in our system and kind of use that as a basis for kind of the backlog, just bottoms up - addition of tens of thousands of line items in backlog. What we do not consider was the periodic performance and so we do not explicitly exclude items for which the period of performance has left. The changed we have made and as reflective adjustment quite simply is if the periodic performance has left, there is a very low probability we will realize revenue and as a result of that we are excluding it from the backlog calculation.
Tobey Sommer: Thank you.
Operator: We have an additional question from Cai von Rumohr from Cowen & Co.
Cai von Rumohr: Thank you so much. You'd indicated that NSS contributed $255 million in revenues and to Bill's question that you did a small security acquisition and some acquisitions in the UK toward the end of the year. So the question is: What was the total acquisition-related revenue in the fourth quarter? And what do you expect it to be for fiscal 2017? I think you'd said $600 million for NSS. But how much for the other guys? Thanks.
Tom Mutryn: Yes, the total acquisition revenue in the fourth quarter was $263 million. And for all of FY '17 kind of we expect it to be approximately $600 million. We attributed that to NSS. The acquired revenue on the other acquisitions is relatively small and so we round to $600 million.
Cai von Rumohr: And then a follow-up. I think on the guidance call you'd indicated a 7% sequential drop in revenues first quarter from fourth. Given that you had stronger than expected Q4 revenues, is 7% still the right number? Or how should we think about that?
Tom Mutryn: Yes, that's still the right number. That’s still the right ballpark.
Cai von Rumohr: Thank you.
Operator: Thank you. And we have no further questions. I will now turn the call over to Ken Asbury for final remarks.
Ken Asbury: Well, thank you, Jason, and thanks for all your help today on the call. We would like to thank everybody who dialed in or logged on to the webcast for their participation as well. We know that many of you will have follow-up questions throughout the day or the rest of the week and Tom Mutryn, Dave Dragics and Daniel Leckburg are available for calls later today or throughout the week. So this concludes our call. Thank you. We appreciate your interest in CACI. Have a very good day.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.